Operator: Good day, and welcome to the Full House Resorts Inc. Third Quarter 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Daniel Foley of ICR. You may begin sir.
Daniel P. Foley: Thank you Danny and good morning. By now, everyone should have access to our earnings announcement and Form 10-Q which was filed with the SEC. These may also be found on our website at www.fullhouseresorts.com under the investor relations section. Before we begin our formal remarks, I would like to remind everyone that part of our discussion today may include forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer all of you to our recent filings with the SEC for a more detailed discussion of the risks that could impact the future operating results and financial condition of Full House Resorts.\ I would now like to introduce Andre Hilliou, Chairman and Chief Executive Officer of Full House Resorts.
Andre M. Hilliou: Thank you, Dan. Thank you. With me today on the call are Mark Miller our Chief Operating Officer and Deborah Pierce our Chief Financial Officer who will assist me in reviewing our third quarter results. While we continue to feel competitive pressures in the markets in which we operate, as evidenced by our top line revenues, I am very pleased to report that we delivered tangible improvement in the area that counts the most to us and our shareholders, the bottom line. Adjusted EBITDA, as defined by our press release, for the third quarter of 2014 was $5.2 million versus $5.3 million in the prior-year period. Through strong cost containment measures put in place earlier this year, tax relief that commenced on July 1, 2014 at our Rising Star property and target marketing we delivered solid bottom line results in an environment that has been punishing to operators of regional gaming assets. While we can’t manage the overall economy and the pressures it is putting on our customers day-to-day, we are doing all we can to ensure that we continue to deliver a high quality gaming experience to our customers while prudently operating our business to deliver the best value possible to shareholders through better flow through to adjusted EBITDA with our current asset base. I want to briefly walk you through each of our regions and provide some color. Starting with Indiana. While we continue to feel the intense competitive pressures from the Ohio market which has not grown the overall Southern Indiana/South/Western Ohio gaming corridor, anywhere close to expectations, and while our core customers continue to be very conservative in their spending we have been and continue to look for ways to improve the operation. It is with that backdrop in mind that I am pleased to report that we are on the road to recovery. The end of harsh weather we experienced earlier in the year, tax relief that commenced on July 1, 2014, improved target marketing and additional cost containment measures put in place during the second quarter by our management team have all contributed to a much improved quarter. While we expect the overall regional environment to remain challenging, especially in the Southern Indiana market, we are extremely pleased that Rising Sun appears to be stabilizing and is showing early signs of improvement even though we have yet to lap the openings of some of the new Ohio competitors. We continue to expand our marketing reach now that we have an additional 104 rooms on line. In spite of this quarters encouraging result, we believe there is additional room for improvement. We, along with a number of operators, continue to work with the State of Indiana to explore further options for improving the financial health of the industry. There are a number of proposals on the table, including allowing for land based casinos, extending the free play deduction through 2018 and removing the per person casino admissions tax. While there is no certainty of additional relief, the State of Indiana has been very receptive to the plight of all operators and the larger than expected negative effect Ohio has had. We are very pleased with the recent recommendations endorsing land based gaming made by the Indiana Interim Study Committee on Public Policy which has been studying various ways to provide relief to the gaming industry. The panel’s recommendation, if adopted would allow Rising Star to relocate its current number of gaming positions to its existing pavilion. Moving on land will improve Rising Star’s competitiveness with its land based neighbors in Ohio and substantially reduce our operating costs. We applaud the committee for adopting a legislative recommendation that allows relocation without expansion, thereby giving land based a real boost for successful passage in 2015. We reiterate our commitment to working with the state to provide quality high paying jobs, a strong tax base and a first class resort facility the citizens of the state can be proud of. We will continue to work to maximize our positive benefits on the communities surrounding Rising Sun and the state in general. Moving on to the Silver Slipper in Mississippi, construction disruption, as typically seen in transformative casino projects continued to affect our overall performance, but we will take this short term pause in play for the long-term gain. We expect from the addition of a hotel to a beautiful seaside property that without a hotel, already attracts a large group of very loyal customers. Construction continues and we expect delivery of the new 142-room hotel tower in early 2015. The topping off ceremony is scheduled for November 12. The project continues to be on budget and is scheduled for opening during the first quarter of 2015. From the day we purchased this facility we had it in our plans to add a hotel to this historically constrained property. It lies on a beautiful stretch of beach and is geographically positioned to take advantage of traffic in the greater Gulf Coast region. On a daily basis this new hotel would greatly enhance the properties drawing and retention power of customers and capture additional play by increasing the length of our guests stay and our portion of their overall wallet in market. I’m also very pleased to report that our Nevada operations showed improvement in adjusted EBITDA during the quarter. Mark will go into more detail, but Nevada again performed well despite a tough economic and competitive backdrop. We continue to pursue opportunities to grow the Company and improve shareholder value. In July 2014, the Company announced that it has been named as the casino operator for the potential Grand Hudson Casino and Resort and the Howe Caverns Resort and Casino projected projects in the New York market. While those opportunities are in the very early stages and may or may not come to fruition, they are examples of our aggressive pursuit of projects that fit our management and operating ability and resources. We provided an update on our Kentucky initiative in the 10-Q filed last night. As you know, on February 26, 2014, we entered into an exclusivity agreement with Keeneland Association, Inc. to own, manage and operate instant racing and, if authorized, traditional casino gaming at race tracks in Kentucky, subject to completion of definitive documents for each opportunity. On June 12, 2014, we executed an amendment to the Exclusivity Agreement extending the term to June 30, 2019. In addition, we and Keeneland have a letter of intent that provides for an exclusive option to purchase the Thunder Ridge Raceway in Prestonsburg, Kentucky, subject to the completion of definitive documents and the approval of the Kentucky Horse Racing Commission, including the approval to transfer the racing license to a to-be-constructed quarter horse racetrack near Corbin, Kentucky to be owned 75% by us and 25% by Keeneland. Recent Company events have caused Keeneland to evaluate the nature and scope of their ongoing relationship with the Company. Keeneland has begun discussions with us as to the terms and conditions under which we may terminate the agreements between us and Keeneland. Lastly before I turn it over to Mark to discuss results of operations in more detail, I’d like to address the recent actions of a group of dissident shareholders. On October 22, 2014, the Company’s Board of Directors authorized management to initiate a process for the sale of the Company. The Company is continuing its sale process and has no further update at this time. On October 28, 2014, a group of dissident minority shareholders of the Company filed a definitive consent solicitation statement seeking to call a special meeting to appoint their nominees to the Company’s Board of Directors and to make changes to the Company bylaws. The Company continues to encourage stockholders not to support the disruptive actions taken by the dissident shareholders. Given the sensitivity and fluidity of this situation, we will not be taking any questions regarding the consent solicitation effort, the sale process or our discussions with Keeneland at the end of this presentation and will not be providing any additional commentary beyond the information we have already publicly filed. I will now turn the call over to Mark to go into more detail about the financial results for the quarter and I will close later with a few additional comments. Mark.
Mark J. Miller: Thank you, Andre. Deborah and I will briefly review our third quarter 2014 financial performance and financial condition. I will be discussing operations and financial results at our properties and Deborah will follow-up with our consolidated financial results and financial position. As Andre indicated earlier, we had a solid quarter with adjusted EBITDA, as defined in our press release, for the third quarter of 2014 coming in at $5.2 million versus $5.3 million in the prior-year period. Rising Star Casino Resort’s Adjusted EBITDA for the quarter was $1.7 million compared to $1.1 million in the prior year period, an increase of 53.8%, while our revenue for the quarter declined 21% from the prior year period. Our property continued to be affected by increased competition. However, the harsh weather we had for several quarters is behind us, tax relief from the state of Indiana kicked in at the beginning of the quarter as previously discussed and we benefited from aggressive cost reduction efforts put in place during the second quarter. Our cost structure declined by approximately $4.1 million over the same quarter a year ago, exclusive of depreciation and impairment. We are proud of the management team’s efforts and as Andre indicated earlier, we have now seen several months of year over year improvement in adjusted EBITDA and we are seeing early signs that we are making progress. The Silver Slipper Casino generated $1.7 million in Adjusted EBITDA in the quarter compared to $2.5 million in the prior year period due to construction disruption and continued economic weakness in the Gulf Coast market. We continue to see sluggishness within our core customer base, overall market growth continues to be weak and the competitive environment remains difficult. This coupled with construction disruption has put pressure on the top line revenues. We are moving aggressively to control costs and have reduced payroll and other operating costs significantly. Those reductions began positively impacting results beginning in the third quarter and will impact us in future quarters. Revenue at our Northern Nevada operations were comparable with the prior year period. adjusted EBITDA for the quarter increased $125,000 as we continue to have a strong cost control effort in place even during our seasonally strongest period in Lake Tahoe. Buffalo Thunder generated management fees in the third quarter of $0.3 million which were inline with the prior year. Our management contract with the Buffalo Thunder Casino and Resort expired as anticipated and according to its terms on September 23 as the Pueblo returned to self-management. We are very pleased with the relationship we have had with the Pueblo over the past three years and wish them the very best as they push forward. I will now turn the discussion over to Deb Pierce to discuss our quarterly results and liquidity. Deb.
Deborah J. Pierce: Thank you, Mark. For the third quarter 2014 the Company recorded operating income of $2.7 million compared to an operating loss of $1.2 million in the prior year period. $4 million goodwill impairment was recorded in the third quarter of last year. Without that impairment, the operating income in the 2013 period would have been $2.8 million. Adjusted EBITDA, as defined in our press release, for the third quarter of 2014 was $5.2 million versus $5.3 million in the prior year. As described by Mark and Andre, cost containment marketing and gaming tax relief helped us to stabilize operating results year over year. For the quarter ended September 30, 2014, net revenue was $32.9 million, a 12.1% decrease from the prior year period, primarily that attributable to the decline in revenues at Rising Star Casino Resort, as a result of increased competition in Ohio. Operating expenses for the third quarter 2014 were $30.3 million compared to $34.7 million in the prior year period, a decrease of 12.7%. The decrease was driven by $4.1 million in cost reductions at the Rising Star Casino Resort, $0.2 million in cost reductions at the Silver Slipper Casino and a $0.1 million in cost reductions in Northern Nevada operations. Further cost reductions at Rising Star inclusive of the gaming tax reduction are expected to result in savings in excess of $1.0 million per quarter at Rising Star. We have also set in place additional cost initiatives at the corporate level, that are expected to further reduce corporate G&A by approximately $0.5 million on an annual basis starting in the fourth quarter of this year. Some of these savings may be offset by additional expenses associated with the definitive consent solicitation, seeking to call a special meeting of the stockholders. For the quarter, we incurred $1.6 million in interest costs, compared to $1.8 million in the prior year period, primarily due to reduced Company debt and a negotiated decrease of one percent on the first lien credit facility in August 2013 partially offset by a one percent increase on the second lien credit facility beginning in July 2014. Interest expense in the third quarter of 2014 consisted of cash interest expense of approximately $1.2 million and amortization of debt costs of approximately $0.4 million. Our book income tax expense can vary substantially from the 35% federal statutory rate, because of state income taxes and large permanent differences between book and tax. Our taxable loss the third quarter was $0.7 million. The Company recorded a net loss for the third quarter 2014 of $0.8 million or $0.04 loss per common share compared to a net loss of $2.2 million or $0.11 loss per common share in the prior-year period. Excluding a $1.7 million settlement loss in the third quarter of 2014 and a $4.0 million goodwill impairment loss related to Stockman’s Casino in the third quarter of 2013, adjusted Net Income, as we defined it in our press release, net of tax effect, attributable to the Company per common share in the third quarter of 2014 would have been $0.02 and $0.02 earnings per share respectively. As of September 30, 2014, we had a cash balance of $16.0 million and $59.5 million outstanding on our first and second lien credit facilities along with a $7.1 million capital lease obligation related to our 10-year lease of the new hotel tower at Rising Star Casino. Capital expenditures for the quarter were approximately $2.6 million and that included $2.2 million spent on our Silver Slipper hotel project. As of October 31, 2014 we have approximately $15.8 million in cash giving us about $4 million of excess cash above what is required to operate the business. At present, we have funded $6.9 million of our $7.8 million cash contribution to the Silver Slipper Hotel project. We expect to complete our cash commitment and begin drawing on the $10 million loan during the fourth quarter. With that I will turn it back over to Andre for a few final comments before we open it up to questions.
Andre M. Hilliou: Thank you, Deborah. Without a doubt, we continue to experience competitive pressures in the market in which we operate and we still have work to do on improving our top line revenues. With a continued focus on cost containment, improved target marketing, further tax relief and now with unfavorable weather behind us, our bottom line is showing improvement. We remain focused on delivering a stellar gaming experience for our customers while prudently operating our business to deliver value to our shareholders in an ongoing challenging gaming environment. In addition we have many exciting growth opportunities in the pipeline. Performance of our new hotel tower at Rising Star is improving and has increased our competitiveness. In addition, much needed tax relief is improving our operating efficiency and we are hopeful that the State of Indiana will provide further cost relief opportunities next year. We are pleased that our soon to be completed 142-room hotel tower at Silver Slipper will be a solid addition to the property. Thank you and I will now open up the call for questions. However, I would remind you that given the sensitivity and fluidity of our current situation, we will not be taking any questions regarding the consent solicitation effort, the sales process and our discussions with Keeneland and we’ll not be providing any additional commentary beyond the information we have already publicly filed. Therefore, we would respectively request that you limit your questions to those pertaining to our third quarter financial performance and condition. Thank you.
Operator: (Operator Instructions) And we'll go to our first question, which is Chad Beynon with Macquarie.
Chad Beynon – Macquari Research: Hi good morning. Thanks for taking my questions.
Mark J. Miller: Good morning.
Andre M. Hilliou: Good morning Chad.
Chad Beynon – Macquari Research: How are you?
Mark J. Miller: Doing well.
Chad Beynon – Macquari Research: First just on the third quarter fundamentals in just kind of what we're seeing in the market, its probably tough to parse out the exact fundamental trends at your properties given the puts and takes at Rising Star and Silver Slipper, but some of your competitors have talked about sequential positive cadence throughout the quarter and then others this morning actually talked about a positive October that kind of puts them in a cautiously optimistic state. I was wondering if you could talk about some of the trends that you are seeing with your core visitors with regards to spend per visit or trip and if you think oil being at three year low, will help these customers or help the retail customers maybe come back to your property. Thanks.
Andre M. Hilliou: I’m going to make a comment and I would pass it on to Mark. I think the price of gas going down, it’s really helping us. I think the interest rate people see eventually the interest rate going down, I mean going up at least its not going down. So I think those two factors would have an impact on that customer base. Price of gas and oil coming down does not only affect transportation per se, but the price of good as well. So again interest rate would eventually go up, at least in the mind of our customers and the price of gas going down and if we have a bad weather this quarter and the first quarter of next year, I think those three factors should help us greatly. Mark.
Mark J. MIller:
Chad Beynon – Macquari Research: Okay. Thanks. And then on the topic of the yesterday’s mid-term elections, just to help me better understand the process in Indiana. Are you dealing with a specific committee who you have been speaking with for some time or were there maybe some changes in the legislation that could help or hurt that based off of yesterdays elections and then with regards to New York’s elections, now that we are kind of pass that hurdle, should we expect to hear from that committee with regards to the winners in up state New York within the next month. Is that kind of the expectation? Thanks.
Andre M. Hilliou: That’s Andre, let me answer the question on the Indiana first. It was a solid republican house and governor and I don’t think I expect any changes there, we understand the challenge coming from Ohio and we are going to react to it. So I think the election was good for us, but we anticipated and so did the voters. When it comes to New York, I think that everyone knows that and there we said them, we do see decision made during a voting time and we expect a decision over the next 30-days or 60-days. So does that answer your questions?
Chad Beynon – Macquari Research: Yes absolutely. Thanks, I'll go back into the queue.
Andre M. Hilliou: Okay. Good.
Operator: Our next question is from Kent Holden with RMB Capital. You may go ahead sir.
Kent Holden – RMB Capital Management LLC: Good morning. Thanks for taking the question. I was wondering if you can clarify how the taxes in Indiana were booked during the quarter.
Deborah J. Pierce: How they were booked during the quarter, yes as you know we have to smooth our taxes over a 12-month period. And so those taxes would have been smooth and not based on what we were paying in cash.
Kent Holden – RMB Capital Management LLC: So how much of it was…
Deborah J. Pierce: So our cash taxes were 5%, but our smooth taxes were I believe more like 12.8% if I remember correctly.
Mark J. MIller: And that’s just the raw gaming tax, so we use the weighted average rate for the year as required by GAAP and remembering that Indiana is on a July 1, to June 30 fiscal year, so the way that they have a tier tax rate, we actually pay less in cash at the early part of their fiscal year and then it evens out overtime, but the 12% that Deb is referring to is not the all-in tax rate, because it doesn’t include the admission taxes and some of those as it comes.
Deborah J. Pierce: No that would be just be the gross win tax.
Mark J. MIller: Right just the gross win tax. Right.
Kent Holden – RMB Capital Management LLC: Okay, thank you very much.
Deborah J. Pierce: So, yes, our overall tax rate is higher.
Mark J. MIller: Any other questions?
Operator: (Operator Instructions) we will take a follow-up question from Chad Beynon with Macquari.
Chad Beynon – Macquari Research: HI guys, just one more on the quarter. Are you able to quantify the construction disruption impact at Silver Slipper through the quarter and was it pretty consistent throughout the three months or was it heavier or more disruptive during a one particular month?
Mark J. MIller: Chad, I would say that it’s been pretty steady since we broke ground on the hotel. I don’t think we've seen any significant variations overtime, we are not prepared today to give a number on what that construction disruption has been, but it’s been significant. And so…
Chad Beynon – Macquari Research: Okay. And then with regards to the Rising Star, I think you have made some comments before in terms of an absolute number what your goal is to right size that property to. Do you have any update on that? Are you still on track with that number?
Mark J. MIller: Chad, I think we are on track generally as I indicated, from month-to-month there are variations, but since we put the plan in place at the beginning of – well we put the place in the second quarter and really was pretty much all in place at the beginning of the third quarter. I think generally we are on track and cautiously optimistic as I indicated before, but I would say it’s probably too early to call it a win at this stage.
Chad Beynon – Macquari Research: Okay. Thanks Mark, I appreciate it.
Mark J. MIller: But we are very encouraged by the third quarter results and but I think we will give it a little bit more time.
Chad Beynon – Macquari Research: Thank you.
Operator: Ladies and gentlemen this concludes our question-and-answer session. I would now like to turn the conference back over to Andre for any closing or additional remarks.
Andre M. Hilliou: Well, we would like to thank everyone for being with us today. With that we will end the call and wish all of you a great rest of the week. Thank you very much.
Operator: Ladies and gentlemen this does concludes today's presentation. We appreciate your participation.